Operator: Good morning. My name is Luwen, and I will be your conference operator today. At this time, I would like to welcome everyone to the Wachovia Second Quarter 2007 Earnings Release Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions]. Thank you. I will now turn the conference over to Ms. Alice Lehman, Head of Wachovia Investor Relations. Ma'am you may begin your conference.
Alice Lehman: Thank you, operator. And thanks for everyone for joining the call this morning. We hope you've received our earnings release by now as well as the supplemental quarterly earnings report. If you haven't, both are available on our Investor Relations website at wachovia.com/investor. In this call, we'll review the first 14 pages of the quarterly earnings report. In addition to this teleconference, this call is available through a listen-only live audio webcast. Replays of the teleconference will be available by about 2:30 today and will continue through 5:00 p.m. Friday, August 31st. The replay phone number is 706-645-9291, and the access code is 3661619. Our CEO Ken Thompson will kick things off. He'll be followed by our CFO, Tom Wurtz, and our Chief Credit Officer, Don Truslow. Also with us are other members of our executive management team. We'll be happy to take your questions at the end. Of course, before we begin, I have a few reminders. First, any forward-looking statements made during this call are subjects to risks and uncertainties. Factors that could cause Wachovia's results to differ materially from any forward-looking statements are set forward in Wachovia's public report filed with the SEC including Wachovia's current report on Form 8-K filed today. Second, some of the discussion about our company's performance today will include references to non-GAAP financial measures. Information that reconciles those measures to GAAP measures can be found in our filings with the SEC and in the news release and the supplemental material located at wachovia.com/investor. Third, Wachovia's proposed merger with A. G. Edwards will be addressed in a definitive proxy statement prospectus to be filed with the SEC. We urge you to read that document because it will contain important information. Information regarding the participants in the proxy solicitation is contained in our annual proxy materials filed with the SEC and will also be contained in the definitive proxy statement prospectus. That document and other SEC filings can be obtained for free at the SEC's website and from Wachovia and A.G. Edwards. Finally, when you ask questions please give your name and your firm's name. Now let me turn things over to Ken.
G. Kennedy Thompson: Thanks Alice and good morning to everyone. We really thank you for joining us at the end of what's been for you I know a very busy week. I am going to start off by making some brief opening comments, and then I am going to turn the mic over to Tom Wurtz and Don Truslow for more specific follow-up. We're pleased... we are very pleased with our second quarter results. Earnings per share of $1.23 in what we consider to be quarter with very little no exits [ph]. We are experiencing customer growth in all of our four business lines. And customer service scores are the best that they've ever been and they are continuing to improve. And the result of these two facts is that we are adding new customers at a significantly higher rate than we are at attriting customers. We experienced really good balance sheet growth in the quarter. Both loans and core deposits are up nicely, and fee income was outstanding across almost every category in each of our four business lines. On the expense side, our efficiency ratio has improved over the last twelve months by 270 basis points, and that's in spite of significant investment of expense dollars and capital in new business initiatives which will pay off for us in the future. And in risk management, I am particularly happy with their position in a very difficult environment. Net charge-offs continue to be very low 14 basis points. NPAs increased for us slightly in this quarter; that was primarily in mortgage. But if you compare our mortgage company to almost any other in the industry, our NPAs are outstanding, and our NPAs at a company level would have to be considered outstanding in comparison to our peer group. Lastly, we are very comfortable with where we sit today in a conservative position in virtually all asset classes as markets re-price risks and Don Truslow will talk more about that with you later. So with those opening comments, let me now turn it over Thom Wurtz to walk you through our guidance.
Thomas J. Wurtz: Thanks Ken and I would add my thanks to all of you for joining us this morning. I believe we are delivering a solid quarter very much in line with our April guidance. There is strong revenue growth, appropriate expense management and stable credit quality, and personally, it's gratifying to produce solid bottom-line results. We're continuing to invest in our core businesses and maintaining appropriate risk profile in spite of some fairly croppy credit market. While volatility in money markets has been higher than recent quarters, it's overall suitable backdrop for us to continue to meet our goals for the year. As we go through the quarterly earnings report that I hope all of you have available to you. Just a reminder, since Golden West was not part of Wachovia until the fourth quarter of 2006 we have introduced the concept of a combined 2006 results which attempts to portray how our results would have looked if in fact we had been consolidated for each quarter of 2006. So, with that if we can turn to page 2. As Ken noted GAAP earnings totaled $2.3 billion which translates to $1.22 a share or $1.23 on an operating basis. On a linked basis, the corporate investment bank produced bottom-line results which were up 58% on broad strength across all major business lines. Wealth Management grew 11%. The General Bank grew 1% despite some headwinds. Capital Management was essentially flat compared to record first quarter results, and it continues to execute extraordinary well, up 30% from the second quarter of last year. Overall, revenue was a record $8.7 billion. While net interest income was down about 1%, fee income was up 13%, producing overall revenue growth of 6%. It was particularly noteworthy of the strength across all major fee categories in addition to viewing it from a business segment standpoint as well. Expenses were up 6%, primarily a result of higher revenue-based incentives and investment spending, which I'll get to you later. Commercial loans grew at 5% while organic growth and consumer loans came in at 2%. While reported consumer loan balances declined modestly as a result of sale and securitization activity, consumer loan originations were up 8% to $28 billion in the quarter. Average core deposits grew at an annualized rate of about 10% with notable strength in foreign deposits and checking balances. And finally, non-performing assets picked up to 47 basis points while charge-offs decreased slightly to 14 basis points. The provision of $179 million reflects the addition of reserves for solid growth that we witnessed in our loan portfolio and stable trends within those portfolios and capital ratios remain on target. Page 3 simply reconciles GAAP with operating results and it really requires no further explanations, so we'll turn to page 4. Page 4 shows income statement on a consolidated basis. It's worth noting here that net interest income declined less than a percent from Q1 as we continued to experience some margin compression which exceeded the near-term impact of balance sheet growth. We believe that a variety of modest, favorable factors will likely produce modestly higher net interest income in the second half of the year compared to the first half, resulting in flattish year-over-year net interest income growth. Turing to page 5, you can see the overhead efficiency ratio generally consistent with Q1 and down 270 basis points from the second quarter of 2006. If you look down to the next line on the page, you see that the improvement is closure to 300 basis points including brokerage. Obviously the strong growth we have experienced in brokerage which is a narrow margin business has matched some of the fundamental improvements in the rest of the company. The net interest margin dipped by 9 basis points, which is a combination of core compression and a few basis points of timing that will likely reverse itself over the next couple of quarters. This compression is largely associated with continued expansion of our structured products business we're carrying abroad. We have seen some continued mix shift in the loan portfolio and within deposit products based on customer preferences. But we believe we are taking appropriate actions to focus our sales force and growing core deposits and taking care of customers. Charge-offs of 14 basis points are well in check, and we don't see any new pressures there on the credit front. Capital ratios are right in line where we want them, and you can see the fully diluted share count down by about 6 million shares with period-end shares down about 10 million. We purchased about 13 million shares during the quarter. The employee count is flat despite some robust growth in the General Bank, you'll hear about later. Page 6 details the major balance sheet trends which I spoke too earlier. I would like to point out a few items of note. First is the 18% growth in average trading assets, which is one of the factors that pressured the net interest margin in the quarter. Second is that loan originations were very strong for the quarter as loans held for sale grew almost $1 billion, in spite of the securitization sale of $21 billion of loans in the quarter. And finally, it's also worth noting that low cost core deposits grew approximately 7% compared to a combined second quarter of 2006 reflecting nice growth in money market products and interest checking. Looking to page 7, very nice growth in fee income from both traditional banking fees and market-related businesses in aggregate up 13% linked quarter, a nice uptick in service charges, up 9%. Other banking fees were up quite nicely compared to Q1 and adjusted for MSR gain, which is offset entirely in other income line, they are up a very solid 7%. Commissions remain very solid, down about a percent from Q1 despite lower contribution from record equity syndicate activity in Q1. Fiduciary and asset management fees up 7% linked quarter, 21% year-over-year is simply a great story. I'll cover the fee income line exclusive to the corporate investment bank when I speak to the results for CIB and then also we're going to...business unit leaders to speak about the results for a moment as well. Finally, other income down 5% including the hedging losses I just referenced and associated with mortgage servicing rights which drove lower securitization gains. On page 8, we detail expenses, up 6% on a linked quarter basis right in line with the guidance that we provided in April. Overall expenses up $268 million, but what we need to keep in mind is that first quarter expenses included $93 million of additional stock compensation expense. So, really we are dealing with an increase of about $350 million quarter-over-quarter. Of that amount, about 60% is from higher revenue-based incentives based on the high revenue growth for the quarter and merit increases which we end up awarding at the end of first quarter and so you see the fourth quarter impact of that. So 60% of $350 million comes from those factors. About 25% of the increase is attributable to activities directly in support of revenue growth like advertising, travel and the cost of new branches that we opened up about 20. We consolidated about 58 branches. We expanded in a variety of our business lines, added brokers and so forth. And so there is about $50 million or 50% of... 15% of the total that are attributable to things like consulting, outside legal fees, loan origination costs and processing costs that I think are the things that people would have a real focus on us, keeping an eye on it and we have. Overall, the expense increase for the quarter is likely on a surface higher than people would have guessed. But we've indicated we are focused on our management expense growth including continued investments at a level that index to our revenue opportunity and that's exactly what we've done. Turning to the business units, I will start on page 9 with the General Bank. The bottom-line growth masked the core strength in the business. Revenue growth was solid, up 8% on an annualized basis in spite of flat net interest income. Major initiatives included executing in the quarter on branch building, Western expansion, branch consolidation, credit card growth, expansion in mortgage platform, in Wachovia branches efficiency initiatives. Expense increases were very moderate. Highlights for the quarter which I am sure Don will speak to, include solid deposit growth, strong fee income growth, solid loan growth and continued success with customer satisfaction and loyalty initiatives. You have seen increase in provision in the General Bank and that's entirely attributable to growth in the credit card portfolio and our indirect auto portfolio where we're seeing very nice growth in those businesses. Wealth Management shown on page 10 produced bottom-line growth of 11% linked quarter and 22% versus a year ago as much more in line with our experience over the last several years, which was recently interrupted by restructuring the organizational structure of Wealth Management and changing our advisory model over the past few quarters. So we continue to see great acceptance for the new investment platform, and we look for solid results going forward. Turning to the corporate investment bank on page 11, we had a great quarter with record revenue in earnings, saw strength across all major lines and robust growth in both net interest income and fee income. Clearly a great quarter for principal investing for us and for the industry. I think there is a lot of focus on principal investing and trading and what contribution was to our overall results. To put in perspective, if you take a look at the first six months last year versus first six months this year, trading and principal investing is up about $50 million over the first six months of this year versus last year. So, relatively comparable and obviously markets are a little stronger now than they were last year, so no surprises. Within our other capital market businesses, execution in the context of CD volatile market was solid. Within structured products we saw a pretty strong rebound in structured set of products from the first quarter which included results that were impacted by market disruption. This quarter our CMBS businesses posted better results in spite of the fact that they were faced with margin pressures and deals that were coming to market. The spreads are widening and coordination levels are increasing. We think we've managed through this volatility very well. Wealth markets are clearly more volatile than in recent past. We ended the third quarter with strong pipelines and good momentum but probably greater uncertainty about pipeline, and I think that's probably true for all participants. Capital Management shown on page 12, again flat results with record first quarter results year-over-year rose 30%, great focus on execution of expense management, disciplined acquisitions and thoughtful integration of new businesses, is just the wonderful story there. Our brokerage highlights include: Series 7 advisors up 8% annualized from the first quarter, and also this was at trading [ph] commission 10% to 15% higher than similar hires a year ago, so very good story there; continued migration of customers, managed account program and solid increases in client assets. One note on asset management, previously both CMG and our wealth unit had investment discretion with respect to co-managed, non-proprietary assets held by certain wealth customers. We have footnoted this in the past. We've now move to model where authority resides only with the Wealth Management team for those accounts. That's why we've moved the balances out of CMG for reporting purposes and that will be the pattern we'll follow going forward. Now, I'll ask Don if he would speak to credit and then I'll follow up very quickly with earnings guidance.
Donald K. Truslow: Great. Thank you, Tom. Our credit quality for the quarter remained very healthy. It's already... has been a noted no real meaningful surprises and all of that against the backdrop of some pretty challenging credit markets particularly here in the last few weeks. Starting with non-performance assets, we did see a $341 million increase in non-performs linked quarter, driven mainly by more delinquencies in the residential real estate portfolio. Now, of the total increase of $341 million, $224 million represented commercial real estate loans and about $15 million of the increase was in consumer foreclosed properties. And I will just note that as we discussed in some depth last quarter, our overall consumer portfolio is very well secured and has demonstrated very low loss content through time, and that continues to be the case. The average loan to value of the residential non-performing loan book using updated appraisal information where we have gone out and we have refreshed appraisal information on the book is at a very low 72% as of the quarter end giving us very good cushion against those loans. We are experiencing some of the same trends, obviously seen in the overall mortgage market, which are driving up delinquencies. And in addition to that, we are also seeing some seasoning of the portfolio given the growth in the business over the last couple of years. So, to be expected, our default loan servicing centers are noting. They talk to defaulting clients that the predominant two reasons for those clients having trouble making their mortgage payments really relate back to some sort of loss of income or excessive data obligation outside the mortgage itself. So this would be where clients have secured mortgage from us and then subsequent to that maybe put a second from another financial institution behind us or leverage off their balance sheet in some way and have run into overall problems in servicing their overall debt. I do want to remind everybody that our pick-a-pay product, which is our option payment ARM, is structured with caps that limit the amount, customers payment may increase in any given year to no more than 7.5% of the payment. So, on a $1000 mortgage payment that would be a $75 increase from one year to the next and therefore just want to point out the payment shock in our option ARM is just not an issue here at all. It's really not an issue with the product. Given the environment, again we're not surprised to see the residential market performance trend-up as we noted last quarter is what we have been expecting. And I would anticipate that we'll continue to see some trend-up over the next few quarters as well. But because the way these loans are underwritten, we are not seeing any meaningful increases and losses in the portfolio, and we don't expect to see any rises and losses as we look forward over the next few quarters. And so the underwriting process and how these things are booked and what we are ultimately relying upon are holding up very, very well as expected. We also saw a modest $60 million increase in commercial non-performing loans. That $60 million was scattered across several names and looking at those names and through the watchless [ph] processes we don't believe that there are any additional significant losses on those names beyond what we've probably or what we have already taken. Charge-offs, as Tom noted, for the quarter were down slightly from the first quarter. Gross charge-offs were essentially flat. The coverage were up just a lit bit, and our ratio came in at about 14 basis points. The largest commercial charge-off we saw during quarter was just under $5 million and then they dropped off pretty significantly from there. On the allowance front, the provision, once again exceeded net charge-offs by a modest amount which primarily represented the additional allowance needed to support loan growth and again Tom noted in the card and the dealer financial services book where we've seen a pretty nice growth. Credit quality indicators across the portfolio continue to look very healthy with only a very modest rise in credit size assets and the category of credit size assets where we're seeing summarized would be the least risky the other assets especially mentioned. And given that we don't have a sub-prime focus in our business and that our home equity loan exposure is both modest and mostly all in the form of very high quality prime equity lines combined with a low loss content of our non-performing allowance, we are very comfortable with our allowance coverages at the end of the quarter. I thought I would just make a couple of comments switching gears about the turbulence in the capital markets and the impact on Wachovia. Overall, I feel like we are in very good shape. It strikes us that the route of what's been going on is a re-pricing of risks to a more rational and appropriate levels, acknowledged that the turbulence is causing some disruption in the market. And but in the end it's probably a very healthy correction to a market that has become very aggressive and its willingness to accept ever increasing leverage levels, weaker structures and thinner pricing. Probably not appropriate to get too specific around the numbers at Wachovia, but acknowledging there would be high level of interest in that but for competitive reasons, I want to be a little careful of how specific we get. But we view the risk to Wachovia, what's currently happening is very modest but let me give you just a little bit of color. In our CMBS fixed rate warehouses, they are running at levels of 50% to 70% where they normally run. We feel good about the current collateral that is in the warehouses now, generally in line with market pricing levels. And we feel very good that our rate and spread hedging strategies really have been effective. And I will say that we see no credit deterioration here at all. The other structured product warehouses are also at modest levels. We scrutinized our positions across all of our warehouses in structured product businesses at quarter end and took some modest write-down, and we had since liquidated a number of those positions. We have very little hedge fund exposure and as you know we are not in the prime brokerage business. So we're not having real concerns there. Our high yield bridge exposure for mandated deal and our mandated leveraged loan pipeline is very modest compared to the announced deals in the overall market and the positions held by many other underwriters. And we are not overly concerned about any of our transactions. We are currently holding no funded high yield bridge loans right now. We have very little in the way of equity bridge exposure and no concerns about the small positions that we do hold. We are very selective where we enter into equity bridges, where we feel very good about the distribution capabilities, the quality of the deal and quality of the financial sponsor. And so we are very selective in that end of the market. And lastly, I think it would be important to note that we underwrite all of our deals across all of our platforms which are slated for distribution with an eye toward our willingness to hold the entire position if necessary. And therefore again, we've been very selective about the transactions we are willing to back. As per sub-prime in our capital markets businesses and in our origination businesses, we shied away from diving into this business over the last few years as that market took off. Really for two reasons: one is given the firm's prior experience in the sub-prime market in the late 90's and also importantly the view of our capital markets of the risk in this arena has been under priced for quite sometime. So, we just haven't felt that it's been a business that made a good sense for us and therefore we've actively managed our business to minimize our exposure to the sub-prime market. So, as a result, there has been little impact to our businesses with the turbulence in the sub-prime markets, and we don't anticipate any meaningful potential impact to earnings from sub-prime going forward. So, to wrap up as we said coming into the year we anticipated seeing a modest rise in credit costs from the extraordinarily low level we experienced in 2006, and it looks like 2007 is basically unfolding exactly what we expected [ph]. We feel very good about where we wind up the quarter and the outlook for the remainder of the year. Tom, I'll turn it back to you.
Thomas J. Wurtz: Thanks Don. I would now ask people to turn to page 14, which is the updated full year outlook. And it's pretty straight forward, just two points to make. First, our guidance doesn't reflect the merger with A.G. Edwards, so it's just for legacy Wachovia. And the only point we would make about update to the guidance would be, while net interest income growth looks more flattish than it did back in April, our net credit income or NII minus provision expense looks about the same to us. We really don't have much of the change in view as to what net credit income looks like. And so, overall no real bottom line impact, just to tweak the geography. Before I turn it back over to Ken, I would like to just make one note that we have decided to discontinue the legacy Golden West monthly financial highlight report. Obviously as we move further along in the integration of our two platforms, this report no longer provides a real look at the business. What does provide relevant insight is our combined mortgage origination results as well as retail deposit growth results with are contained in the appendix. And so, one thing I am pleased today is that over the first five months of the year we saw contraction in this portfolio size at legacy Golden West and in June we actually had a little bit of growth. And early on in July looks like a little bit of growth as well. So, hopefully we have eclipsed that trend. So, we are starting to see a reduction in prepays that is outstripping pressures on origination volumes. So, with that, I will turn it back over to Ken.
G. Kennedy Thompson: Okay. Thank you, Tom. And before we go into Q&A, I referenced at the beginning of my comments the strength that we are seeing in each of our four lines of business. And we thought it might be useful for you to have each of the business hedged, give you a very brief view of their outlook for the businesses. So, I am going to ask each of them to do that. We will start with Ben Jenkins of our General Bank.
Benjamin P. Jenkins III: Ken, thank you. And for our businesses, we expect the second half of the year will continue to be challenging from an economic environment standpoint. But with that said, we believe we have got good momentum going into the second half of the year based on our performance in the second quarter. The second quarter was exceptional for us from a retail sales standpoint. We acquired in the second quarter 426,000 new retail households or customers with more than 90% of that number acquired through a deposit relationship. Take that number and just annualize it, it's about a 14%... greater than 14% acquisition rate which is the highest we have seen in our retail volume, since about the fourth quarter of 2003, first quarter of 2004, when we introduced pre-checking. If you look at deposit account sales, they were up 18% by dollars on a linked quarter basis, and if you look at net new checking it was up 16% on a linked quarter basis. And if you further look at the first two quarters, our net new checking totaled 579,000 in net new units and that would compare against 550,000 for all of last year's. So, we feel great about that. Our customer service scores were the highest in our history with customer satisfaction at 6.65 out of a 7 point scale, and our customer loyalty percentage was at 54%. And because of all that, not surprisingly customer attrition remained in that 10% to 11% annualized number. Balance sheet growth was strong throughout the second quarter with 6% year-over-year loan growth and 8% year-over-year deposit growth. Fee income, we were pleased, was equally strong, up 13% on a year-over-year basis and 11% on a linked quarter basis. The growth we are seeing encourages us, and when it's coupled I think with strong margin management and an expected leveling out of expenses in the third and fourth quarter all that will allow us I think to perform very, very well against our competitors in the second half of the year.
G. Kennedy Thompson: Thank you, Ben. We will turn to Steve Cummings from Corporate and Investment Banking.
Stephen E. Cummings: Okay, thanks Ken. Obviously it's hard not to feel good about our record quarter, earnings up 57% from prior quarter and 19% from prior year. I would say that we feel particularly good in the environment that we have been operating in and to have these kinds of results. Second quarter, as you have seen was a very strong principal investing quarter, a new record, some direct realizations that exceed expectations and were sooner than expected. But beyond that, our overall investment banking origination results were very strong with a new record, a particular strength in syndications, our global rates business and really across the board near record results in several other businesses. One metric we watch closely as we continue to build our platform is the addition of new clients, and we continue to show great progress on that with new lead bank relationships continue to track very positively. Our asset-based lending business also had a record quarter, very strong origination results across the whole platform and very good asset management. Not shown in those numbers but echoing some of Don's comments is how well our team has manage our business in some tumultuous times. I attribute that to a culture that we have here; it's very integrated operating model with origination and product execution and distribution and risk management working very closely together to properly balance the decisions about businesses presented to us and how we manage the risk associated with it. But very quickly on a couple of key markets there's sub-prime and CDO businesses which Don touched on. As he said we have avoided origination side of sub-prime for sometime. We don't have that origination platform. Plus when we have brought platforms in it did have sub-prime activities over the last 18 to 24 months. We have purposely exited that portion of the business. Furthermore, as you know we are one of the larger players in the CDO business and in that market we have managed that exposure also extremely well. Some indicators of that would include the recent rating agency actions that have been taken. If you look at the exposure of our deals in those deals that have been mentioned, I think you'll find that we have among the best performance of... amongst our peer group in that particular business. So we've had nominal P&L impact from that market in our overall P&L and given where we are today we feel very good about that that will continue to be the case going forward. And our warehouse positions in that business are down substantially from where they have been. Leveraged finance obviously is also a very important part of our business that we have been investing in. We have made a lot of progress in that business over the last couple of years and in particular we have focused on some of the large sponsors. I do believe that we have also proven that we have managed that carefully to grow the business but accurately assess the risks, and we are very pleased with our current position. Again I don't need to repeat what Don said but we've made progress in the market we have not... that we have done it without taking on a lot of retained risk and relative to where the market is we feel very good about where we stand. The deals that... we do have in our pipeline we don't regret any of them. Obviously there is some impact on potential profitability as those deals go through the execution phase but we feel very good about the sponsors who are doing work with and the transactions we've selected out of that pipeline. Looking forward, our pipelines remain at or near record levels. Obviously certainty of timing of closure has gone down since 30, 60 days ago. But we really do feel good about where we stand in particular given the fact that we have dodged some of the issues that are out there. We feel we are in a very good position to take advantage of our position and be more offensive in a better priced market and pick up market share.
G. Kennedy Thompson: Thank you, Steve. I will ask Stan Kelly to talk about Wealth Management.
Stanhope A. Kelly: Thank you, Ken. Our outlook in the Wealth Management group for the balance of the year is particularly positive in several areas throughout the division. Our new business pipelines in investment management and in our lending business are both at all time highs. We are particularly pleased with that. Our expansion markets in Texas and to the Northeast are achieving strong year-over-year growth and in particular our Manhattan team which is a new team, two to three years ago is amongst our top performing teams in the business with strong double digit year-over-year growth. Another one of our business is our Calibre business which serves the ultra high net-worth segment is having their best year by far, having one new business with several very large new families through the country. They are enjoying strong double digit year-over-year revenue growth as well, and we look for great prospects going forward in that group. Also our client loyalty scores also hit a all-time high in the quarter. Finally, we are particularly pleased with our prospects and the performance of the private advisory group. This is the group that is transitioning from the General Bank to the Wealth Management group. And our new client acquisition continues to be very strong there, and we have just announced in the last several weeks new leadership throughout the country to also include new leadership in California that was announced just yesterday. So, several favorable trends throughout the business, these positive trends are balanced with the softness in insurance business and with deposit business. But our outlook is very favorable looking forward. Thank you, Ken.
G. Kennedy Thompson: Thank you, Stan. And now David Carroll, Capital Management.
David M. Carroll: Thanks Ken. So, like Steve and everybody else we are coming off of a very strong quarter in our brokerage asset management and retirement businesses with operating earnings up 31% years to year. In fact this is the Capital Management group's sixth consecutive quarter of at least 20% operating earnings growth. The fundamentals driving that will remain in place. So we've got a lot of momentum going into the second half of the year. In brokerage we are seeing strong client assets growth 3% up linked quarter in 13% year-to-year. The key managed account category is up 24% year-to-year but still it only about 19% of total AUMs, so we have room to run there. FA productivity is up 11% year-over-year. The sale of CIB products, products that are underwritten in our corporate investment bank and sold by brokerage are up 19% on a linked quarter and a 112% year-over-year. In fact, through the first six months of this year our combined revenue generated about $309,000 million is 88% of the total generated last year. So we see more momentum there, and we have a very busy equity syndicate calendar for the rest of the year. As Tom mentioned earlier, in brokerage we are also seeing nice growth in advisor headcount. We were up about 1% in the quarter. We hired 270 advisors in the second quarter, and the average productivity of our new hires is about 41% better than for the advisors that are attriting. In asset management, we had a very good quarter, strong revenue growth up 16% linked and 44% year-over-year reflecting in part the acquisition of European Credit Management. They have seen nice growth in AUM from about $26 billion in AUM to over $39 billion at quarter end, and MetWest that we closed on a year ago large cap intrinsic value manager AUM is up 71% year-over-year. And so again for that part of the second half of the year that we have control over, we feel very good about the strategies that are in place that are driving top-line growth. A.G. Edwards is much on our mind. It's going well. In terms of integration we have our integration organization in place. We were on the ground in St. Louis within four days of announcement. In terms of timing with this integration, we would be where we were with Wachovia in first union [ph] after about four months, and we are seven weeks into this. With respect to Wachovia Securities and Prudential comparing the progression there we were actually after seven weeks or about where we were at six months. So we've refined the process and we're taking advantage of our experience there. But we feel... feel pretty good about the second half.
G. Kennedy Thompson: Okay. Operator, I think we have given a pretty full review and we are now ready to answer questions.
Operator: [Operator Instructions]. Your first question comes from the line of Kevin Fitzsimmons with Sandler O'Neill.
Kevin Fitzsimmons: Good morning everyone.
G. Kennedy Thompson: Good morning Kevin.
Kevin Fitzsimmons: On the... the subject of the trading and principal investing I heard what you said about comparing first half of the year versus the first half last year. But can you give us a little bit of a glimpse on how we should be looking at this going forward? I know in the past I think you used to talk about a 150 kind of average type of run rate in this and just looking at the pipelines of business where do you think those line items go over the next few quarters? Thanks.
Stephen E. Cummings: Yes, Kevin this is Steve Cummings. Principal investing we've said that we've consistently exceeded that in the environment we've been in. Our balances of invest... total investments are approaching $2 billion and so you can do some your on math that what you might expect the returns out of that. But we feel like we have good visibility into the third quarter and markets staying in reasonable shape here that we expect another solid quarter in principal investing in the third quarter. Beyond that I would revert to the kind of guidance that we've given you in the past. But it's a very unpredictable number, and I wish we could give you a better clarity on than we've been able to do. On the trading we did have a good quarter. We had... across the board solid turnaround and our positive... particularly positive in our rates businesses and structured products. And I'd say that it was above normalized expectations but the business is growing and don't feel like it was an extraordinarily large quarter in that regard. Tom, I don't know if you have anything add to that.
Thomas J. Wurtz: No, I think that's fair to say in the rates business, we need some volatility to be successful. We've had volatility and turned that into bottom line profitability. So I feel pretty good in that front.
Kevin Fitzsimmons: But just based on where you are, what you are seeing right now so far in this quarter we shouldn't necessarily be expecting a dramatic fall off, but not necessarily this kind of linked quarter growth as well. Is that fair to say?
Thomas J. Wurtz: I would say, I wouldn't expect a dramatic fall off.
Kevin Fitzsimmons: Okay. And one quick follow up. Can you give us a little bit of an update on how the cross selling to Golden West customers is going? I think that something that you've emphasized in the past and I just want to get an update there. Thanks.
Benjamin P. Jenkins III: Kevin, this is Ben Jenkins. I'll be glad to... on the mortgage side, we have mortgage consultancy in our branches and about... their progression was up nicely in the second quarter, was up over 50% above the first quarter and about 20% of that production is of the think Golden West payment option product. If you look at the legacy Wachovia, mortgage consultant about 10% of their production is now from the payment option World product. If you look at the World mortgage consultants 3% to 5% of their production would be in the marketable or saleable product that Wachovia introduced because the branches and retails centers, it continues to be another great story. We had in the quarter a net checking number of about 37,000, net checking account sold by the Golden West or World Savings team in those retail offices. The accounts continue to look very attractive. They about 30% larger in the accounts for opening on the East Coast and the DDA component of that is actually greater than the DDA component on in the East Coast. So, there was this more DDA as opposed to interest checking from those accounts. So, in all accounts we're getting traction. We are very pleased and we think those numbers will continue to be very attractive. We would expect to see a little bit of fall off over the checking sales in third quarter perhaps as those individuals go through a lot of training to get ready for the fourth quarter deposit conversion in the Western half of United States.
Kevin Fitzsimmons: Okay, great. Thank you.
Operator: Your next question comes from Betsy Graseck with Morgan Stanley.
Betsy Graseck: Hi. I know you don't give NIM guidance any more but I just wanted to understand, if you could talk a little bit about some of the major drivers of the decline this quarter and the degree which you think changes in bond pricing recently have changed your own internal outlook?
Thomas J. Wurtz: Hey Betsy, this is Tom. With respect to recent changes in the level of bond market that doesn't in the short term have a material impact. Because of this reason you will need to re-invest at possibly higher rates and this indicates a very small fraction of the total asset portfolio there. Really, there is a number of things, as the trading portfolio was up, structured product warehouses were up. We started a bank in Ireland that will ultimately house capital market activities in Europe and initially the asset side of that looks like a lot of very low spread assets that over time will be replaced with more customer driven assets. And so that was another drag on the margin. And so that... as well as just some things are kind of moving in and out as benefits are detrimental [ph], put more pressure on it this quarter than I would have guessed as we entered the quarter. But I don't... as I have mentioned in my prepared comments I would expect that you will see a little bit of a rebound and so I wouldn't expect that you'll see continued degradation in the market.
Betsy Graseck: Was the European activities with that new bank that you put in Ireland the bulk of the trading asset increase?
Thomas J. Wurtz: No, it's opened international commercial loans.
Betsy Graseck: Okay.
Thomas J. Wurtz: Where that will show up. Again at this point they are very low spread assets that, over time we have to put something in place to again to build the operations capability of FP and so forth. I hope that will be replaced with core activity.
Betsy Graseck: Okay thanks. And then on CMBS, I think in the prepared remarks there was a comment about how you have gone through the whole portfolio and you feel very comfortable. I think that's the words you used and that you don't see credit deterioration in there. Could you just give us a sense as to what you did to come to those conclusions and what the announcement is based on?
G. Kennedy Thompson: On the loan, do you want to take that?
Thomas J. Wurtz: Yes,again the... in the commercial real estate markets, we really have not seen any credit deterioration. The issue that's been out there in the market is collateral that was originated at market pricing before this shift we've seen in the last few weeks and then from a re-pricing standpoint how is that collateral set. And so, we have gone through to revaluate focus as we mark that book. And because the volumes are lower we just don't really see an issue in that book. My point is I mean we are not really seeing any credit deterioration there. It's been a matter of pricing and hedging strategies we've had in place as well as the size and just a velocity through the warehouses, has some pretty good shape.
Betsy Graseck: When you say that volumes are lower, are you talking about the forward volumes?
Thomas J. Wurtz: Well, in other words, the build in new volumes as we clear about at the warehouse, and it's just the market is... the markets to a prior collateral is still catching up with where market pricing is on issuance. So it's just tougher right now to find good collaterals put in the warehouse temperature [ph].
Benjamin P. Jenkins III: And I'd add to that, that on the fixed rate side, we are pricing to what we think is current market, and we don't believe the entire market has moved to that. So we're not planning as many deals. Our fixed rate, I mean our floating rate activities still continue to show good and in fact are growing. So, we think that market just got to be calibrated here.
Thomas J. Wurtz: In fact, one other point I would make is, this collaterals originated, it's intended for a specific deal to the extent it doesn't make it into that. It's referred to as variant pool, and that stuff is marked-to-market and then marketed for sale immediately. So, the results for the second quarter reflect that valuation of anything that didn't make it into the intended securitization?
Betsy Graseck: Okay. And you are basically saying that on the underlying payment stream from the real estate is not what's driving this market but it's the valuation that the buyers are putting on it?
Thomas J. Wurtz: There'stwo things that there is a temporary disconnect between the rates at which customers are accustomed to paying on the loans originated and what investors are demanding. And then second of all during the second quarter or late first quarter the rating agencies readdressed their view of a lot of securitization activities but asset coordination levels should be different. And so therefore that caused the capital structure of deals to be different and that puts pressure on profitability towards them as well.
Betsy Graseck: Okay, and which part is marked to market, is variant pool you mentioned?
Thomas J. Wurtz: Yes, any loan that's originated for intended securitization and it doesn't [ph] make it in there. We take it out mark to market and then we market it for sale.
Betsy Graseck: And then the pieces that are... that you anticipate will be in the pool, gets mark to market at the time of issuance, they are right or at the term marketing?
Thomas J. Wurtz: Yes.
Betsy Graseck: Okay. All right, thanks.
Operator: : Your next question comes from the line of Jefferson Harralson with KBW.
Jefferson Harralson: Hey thanks. I wanted to ask about the syndicated warehouses. You mentioned that the warehouses are down pretty significantly from past levels, is that a risk reduction thing. I keep hearing about a big forward calendar and does that imply that there should be less revenues from the source in Q3 and beyond?
G. Kennedy Thompson: Yes, I think when we are talking about the levels being down we are referring more to some of our other structured product activities that our leveraged finance business activity has been high, and we have a good pipeline out there. I think what we were seeing was that... what we intended to say if it didn't come out right was that our exposure to that big forward pipeline is at the very much at the low end of where our peer group is and if don't have any funded bridges in place right now, and we all have a question about how that stuff clears. And I think we have a good view of what the future profitability will be. And yes that's an area that there could be some revenue impact. I will tell you though that from the leveraged finance business on our platform in terms of revenue is less than 5% and that's not all sponsor related. So, it's not something... like it something that is end point of major engines that we completely depended upon, it's an important business but not dominant.
Jefferson Harralson: Okay. Thanks a lot.
Operator: Your next question comes from the line of David Hilder with Bear Stearns.
David Hilder: Good morning. Just a couple of questions on Golden West up, the increase in residential mortgage non-performing assets, were those primarily from legacy Wachovia or from the Golden West book?
Donald K. Truslow: HiDavid, this Don. They were primarily in the Golden West book.
David Hilder: So, of that total $224 million or so there was a little over $200 million that actually was out of the legacy Golden West portfolio. And is there any particular geographic concentration to that?
Donald K. Truslow: There is a little bit of one in the Central Valley of California, so this is the Bay area basically around... between the Bay area and Sacramento. We are seeing some higher stress in those markets particularly on housing value. That is a market that appears to have gotten ahead of itself in terms of supply. I'll just give little bit a color. The average loan values or house value that we are lending against in there somewhere around 350,000 to 400,000. So, kind of it... we are not at the real high end by any means. But we are just saying absorption there take longer and this a lot has gotten out here. The good news is that it is a very vibrant area. Job are good, the economy is strong and it's just a matter of absorbing the inventory out there we believe. But that would be... probably the one area that stands out in the portfolio right now that this team works with particular diligence
David Hilder: Okay, and are you going to provide information on how much of the interest accrual reflected increase in principal balances on the pick-a-pay mortgages?
Thomas J. Wurtz: The deferred interest?
David Hilder: Yes.
Thomas J. Wurtz: Yes I don't think we have any relative bulk share that we're expecting right in line with where we've always had it or so. Yes right now apprehension about sharing that news.
David Hilder: Okay. And then finally just in terms of the mortgage production, any general distinction or split between fixed and adjustable rate origination?
Thomas J. Wurtz: I am sorry. David, I was looking for the answer of your question so I didn't pay enough attention to your question you just asked. The answer to the deferred interest is a $2.3 billion which is right in line with the trend line with that and could you ask those questions again, Dave?
David Hilder: So on deferred interest, how much did it increase in the quarter?
Thomas J. Wurtz: About $300 million.
David Hilder: Okay. Thanks very much for that and the other question was just a sort of the sense of how the mortgage origination was split between fixed rate and adjustable rate?
Thomas J. Wurtz: Over time we've seen a pattern of migration away from adjustable rate fixed rate. We introduced fixed pick-a-pay. We have introduced a kind of a hybrid as a fixed component of three years and turns into a traditional pick-a-pay ARM. And so you have seen a continued migration towards more on the fixed products. Our margins are about the same for us on either products. So we don't have a strong bias as to which costumers are a lag but you're probably getting close to 50/50 or something like that.
David Hilder: Great, thanks very much.
Operator: Ladies and gentlemen we have reached allotted time for question, and your final question comes from the line of Nancy Bush with NAB research LLC.
Nancy A. Bush: Good morning guys. Couple of questions here. Don, could you just... I mean I know you have been warning us that this increase in residential real estate non-performers was coming but it just seemed to sort of leap ahead. I mean is this going to be sort of continuous level of increase that you see here or is this going to be lumpy around reset periods etcetera?
Donald K. Truslow: Nancy I think... I don't know the reset periods will have anything to do with what we are seeing again given the nature of the product with payment caps and the like. My anticipation would be that some of this is being driven just by seasoning of the portfolio that, it won't necessarily be lumpy but it will be a trend for a few quarters and level off that's what I would expect.
Nancy A. Bush: Okay, great. David question for you, my understanding is that retention payments of Wachovia Securities are that the brokers on Wachovia Securities side are receiving retention payments as well as are the A.G. Edwards brokers that you don't want to lose. Are those payments... number one if you could just give the philosophy behind that and are those payments to the Wachovia Securities brokers included in the merger charges for A. G. Edwards?
David M. Carroll: Yes and yes. They are receiving them, they are included in the merger charges and they would be embedded in the results that we've predicted when we announced the transaction. They are less generous if you will for a comparable level of production on Wachovia side. But the logic in it is and as much as we are combining these firms and moving the headquarters, there were some concerns out there on the part of advisors not so much us in the management, that they would be impacted by it. And so it was that provides some calming influence of our people. And so far the results have been really good.
Nancy A. Bush: Okay.And Ken, I have to ask this question because I am getting.
David M. Carroll: I amsorry really quick, we did the same thing in Prudential too so this was a different experience.
Nancy A. Bush: Okay. Ken I need to ask this question because I am getting it a lot from clients, I mean knowing what you know now about the mortgage market and the impact that some of the concerns about mortgage you've had on your stock price, would you still do the Golden West deal?
G. Kennedy Thompson: I think we're going to be happy that we did this deal long term. We're going to be happy that we did this because of the experience that we're having in the West as we used the branches that we acquired and I think on the mortgage side this product is... this pick-a-pay product is going to be very attractive when yield curves go back to normal and as the housing market comes out of recovery. So yes we're going through a little pain with it now but I think a year out, 18 months out, two years out we are going to be very happy that we did this deal.
Nancy A. Bush: Okay. Thank you.
Operator: And now I would like to turn the call back over to management for any closing remarks.
G. Kennedy Thompson: Okay. Thank you operator and I will just close by thanking you all for being with us. I think we are... we are pleased with this quarter. We think it is a solid growth quarter and I think I am most pleased with the quarter because we are growing and we are doing it in a very conservative way. And I hope we got that across as we talk about what we are doing in credit and in managing everything going on in structured products and then the re-pricing of asset classes that we are pleased with it. As usual we are here to answer your questions addressing Alice Lehman and her team and we will see you soon. Bye, bye.
Operator: Thank you for participating in today's conference call. You may now disconnect.